Operator: Good morning, ladies and gentlemen, and welcome to the Aimia Inc. First Quarter 2022 Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Friday, May 6, 2022. I would now like to turn the conference call over to Mr. Tom Tran, Head of Investor Relations. Please go ahead.
Tom Tran: Thank you, Pam, and welcome everyone to this morning’s call. Today’s presentation is available on SEDAR and the company’s website. Before we get underway, I would like to remind everyone to review our forward-looking statements and the cautions and risk factors pertaining to the statement. With me on the call today are speakers Phil Mittleman, Aimia’s CEO; Michael Lehmann, our President; and Steve Leonard, our CFO. Phil will begin with our strategic highlights followed by Michael who will cover the performance of our investments before handing the call over to Steve to take you through the results of the quarter. We will have time for your questions at the end. With that, let me hand it over to Phil.
Phil Mittleman: Thanks, Tom, and good morning to everyone on the phone and webcast today. We are pleased with our first quarter results as we continue to advance our strategy of maximizing the value of our existing holdings while seeking to deploy capital towards new investment opportunities to deliver strong returns for our stakeholders. To recap the strategic highlights for the first quarter. Beginning with PLM, in February, Aimia announced it had entered into a Binding LOI with Aeromexico to divest its 48.9% stake in PLM, which will on closing result in PLM becoming a wholly owned subsidiary of Aeromexico. We continue to make progress towards closing the PLM transaction, as the application for Mexican anti-trust approval has been filed and we advanced towards completion of the definitive agreement. Aeromexico has also completed its financial restructuring and emerged from Chapter 11 and the PLM contracts have been formally assumed. We expect this transaction will close within the next three months. Upon closing of the transaction, Aimia expects to receive approximately 484 million Canadian and the after tax proceeds by applying the Canadian dollar exchange rate at the end of March, which will be subject to change based on the currency exchange rate at closing. Aimia intends to deploy the majority of the proceeds towards the acquisition of majority or significant minority stakes in one or more cash generating businesses operating in either the U.S. or Canada that will ideally utilize our sizable legacy net operating tax losses. Against the backdrop of ongoing dislocations in world markets, these proceeds will allow Aimia to capitalize on investment opportunities. Moving to TRADE X. TRADE X continues to grow at a remarkable rate with gross vehicle sales up 714% year-over-year in the first quarter, benefiting from acquisitions we closed in Q4 2021. And as it opens new global trade quarters to facilitate cross-border automotive transactions across Europe, Latin America, Africa, the Middle East and Asia. Also TRADE X is actively pursuing a robust pipeline of accretive acquisitions, targeting companies in current and complementary business lines that can help TRADE X scale quickly in key growth markets and expand its market reach. Moving to Kognitiv. We are pleased with the commercial progress made by Kognitiv under a new management team led by President and CEO, Shawn Pearson. Kognitiv is executing its business plan to drive engagement in its collaborative commerce platform. In the first quarter, Kognitiv was successful in securing contract renewals and extensions with major global brands including HSBC, Avis, and National Australian Bank amongst many others. Kognitiv is seen as continued strengthening of its pipeline with several new global brands across different verticals that are prime candidates to benefit from its approach to empowering businesses to grow, adapt, and transform through collaborative of commerce. Having successfully completed a financing of 48.5 million led by Silicon Valley Bank, which includes our $10 million convertible note investment. Kognitiv is well positioned to accelerate its commercial efforts to achieve its growth plans. Moving to our investment in Clear Media. The slowing Chinese economy and recent COVID-related shutdowns have created a challenging operating environment for advertising in China and Clear Media is facing a situation that is similar to the first half of 2020 and has responded to the situation by implementing cost saving initiatives. We continue to believe the Clear Media is a high quality business that stands to benefit from its sizeable market position and enhanced digital offering. And we are monitoring developments closely as they navigate their business through this headwind. Moving to our investment in Capital A, formally AirAsia. We are very pleased to see the airline resume its domestic travel and the reopening of Malaysia’s borders that the region moves away from its zero COVID strategy. As recently reported in Capital A’s first quarter preliminary results, strong domestic travel demand and promotional campaigns during the quarter led to a significant increase of 464% year-over-year for the number of passengers carried by AirAsia Malaysia. We expect Capital One will emerge from the pandemic as a stronger airline and holding company uniquely positioned to capitalize on the sizeable pent-up demand for low cost air travel across Southeast Asia, while enhancing the value of its digital assets. Finally, we recently began share repurchases under the current NCIB buying back more than 340,000 shares year-to-date and an average price of $5.19 per common share. We have a heightened interest to continue executing accretive buybacks as we believe our shares are undervalued. As announced previously, we intend to allocate up to $75 million of incoming PLM proceeds towards these buybacks. And with that, let me turn the floor over to Mike to provide you some further updates on our investment portfolio. Mike?
Michael Lehmann: Thanks, Phil, and good morning to everyone. I’ll begin my remarks with PLM. PLM continued to demonstrate a strong recovery in its operating performance supported by a significantly strengthened airline partner Aeromexico, which has benefited from the recovery and travel demand. In the quarter, we received a distribution of 2.9 million for PLM. Following Aimia’s announcement in February to divest its stake in PLM to Aeromexico, we reclassified our investment in PLM to help for sale asset on the balance sheet at the end of March. And we will no longer report our share of PLM’s net income within our consolidated financial results. Turning to TRADE X. TRADE X continues to deliver terrific business results, including acquisitions, which were completed in the fourth quarter of 2021. TRADE X generated gross vehicle sales of 248 million in the first quarter of 2022, which represents an annual growth rate of over 714% over the same quarter of last year. Total cars sold were 7,443 in the first quarter versus 459 cars sold in Q1 2021, an increase of more than 1500% over last year. Average selling price was slightly over 33,000 in the first quarter, a decline of 50% year-over-year due to volume mix. TRADE X business growth has been supported by its continued expansion of its trade corridors into new countries, such as Nigeria, Mexico, China, Japan, UAE, and the Netherlands. Moving on to Kognitiv. In the first quarter, revenues from continuing operations were 14.1 million, a sequential decline of 800,000 over last quarter, mainly due to the lower setup revenues from new client wins in the fourth quarter of 2021. Adjusted EBITDA from continuing operations was a loss of 10.7 million, a sequential improvement of 2.5 million from last quarter, mainly due to reduced professional fees offset in part by the impact of a true up of 1 million of operating expenses picked up this quarter that related to 2021. We continue to be pleased with the level of receptivity of Kognitiv subscription based revenue model, including the addition of a new CPG client, which will begin to ramp up this quarter. Kognitiv continues to focus on maximizing revenue growth from existing clients by expanding its current client subscription base, as well as widening the scope of their service engagement. Kognitiv is also improving its cost structure by identifying and removing inefficiencies. Moving to Clear Media. Recently COVID-related shutdowns have triggered full and partial shutdowns in many cities in which Clear Media has a significant market presence such as in Shenzhen, Guangzhou and Shanghai. This is creating a challenging operating environment for the outdoor advertisers within China. As in the past, we anticipate these shutdowns to be temporary and we expect demand for outdoor advertising to rebound. And finally turning to our investment management business. Revenue for the quarter from investment management fees was approximately 600,000 and earnings before income taxes will breakeven. AUM was 181.6 million in the first quarter, down 11.8% sequentially, largely due to the negative performance of [indiscernible] concentrated, value-oriented portfolio, which was impacted by the broad based weakness in the global equity markets, offset in part by positive asset flows during the quarter. And with that, let me turn it over to Steve to take you through some financial results. Steve?
Steve Leonard: Thanks, Michael, and good morning to everyone. Let’s begin by covering the consolidated results before we move to the segment performance and cash movements in the quarter. Starting with our consolidated results, in the first quarter, loss from investments was 14.3 million compared to total income of 1.7 million last year. The negative performance was mainly related to non cash 7.5 million equity pickup of our share of Kognitiv’s net loss as well as the 12.1 million related to the unrealized loss on change of fair value of marketable securities mainly due to Precog and Capital A offset in part by the investment income and management fees. Reported expenses were 4.1 million, down from 8.8 million in the same quarter of last year, driven by a decrease of 4.4 million of share-based compensation, mainly due to a significant increase in Aimia share price in the three months ended March 31, 2021, also unvested DSUs previously granted to an executive of the Aimia in connection with a change in role were forfeited and reversed in the first quarter of 2022. Within total expenses, corporate operating expenses, which includes compensation, professional and advisory fees as well as insurance, technology and other office expenses were 3.6 million in the first quarter, down from 7.2 million in the same period last year, again, due to lower share-based compensation. Moving on to cover major cash movements for the quarter. We ended the first quarter with total cash, excluding liquid investments of 19.9 million, including liquid investments of 45.9 million, total cash and liquid investments ended at 65.8 million in the quarter. The main movements in the cash this quarter were a 2.9 million distribution received from PLM, a 10 million investment in Kognitiv’s convertible notes. We paid preferred dividends of 3.2 million and related Part VI tax of 1.3 million and corporate cash operating costs were 4.5 million. Tax losses totaled 742 million at the end of the first quarter comprised of 389 million in capital losses and 353 million in net operating losses, mostly related to U.S. and Canada and some in the U.K. And with that, let me turn it over now to Phil to wrap up with a few concluding remarks. Phil?
Phil Mittleman: Thanks, Steve. 2022 is off to a strong start as we progressed towards completing the PLM transaction while continuing to accrue our pro rata share of PLM’s distributions in cash as we work towards closing this transaction. In the meantime, we are actively conducting diligence on new potential investments and we look forward to providing you further updates in due course.
Tom Tran: Operator, that concludes today’s prepared remarks. Please go ahead and prompt the questions
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Brian Morrison with TD. Please go ahead.
Brian Morrison: Hey, good morning guys.
Phil Mittleman: Hey Brian
Michael Lehmann: Good morning, Brian.
Steve Leonard: Good morning.
Brian Morrison: So just in terms of the Kognitiv financing, can you just comment on what the cash is earmarked for and should the deployment of this cash get you to your earlier targets of break-even EBITDA and free cash flow, maybe just an update on that front?
Phil Mittleman: Yes, I think, we hope this funding is adequate to get them to the finish line. But I think, what’s important to recognize about this funding is this is the first time you’re seeing kind of industry leading outsiders come in and really scrub this business before making this investment. I mean, you could argue a skeptic could say, well, Aimia has a vested interest in “propping up” its investments. So they’re adding money because they need it. But these new parties that came in really looked at this from the bottom up with a very skeptical eye and really scrubbed the model and what they came out with was large checks to write towards it and a very bullish outlook on its future. So we think it’s important to recognize that that’s a really big vote of competence in the model and future. And obviously they see what we see and it’s nice to see it coming from a couple of people that really know the sector and the market. And we’re very excited to write large checks to support that model. We’re optimistic that this funding is adequate and we continue to see really positive developments there and we’re happy with what we see.
Brian Morrison: Okay. And then I appreciate that. Turning to Clear Media, tremendous business here obviously facing some headwinds with the shutdowns in China, but is it at the point where Clear to require a potential cash infusion here? Or is it just as a hiccup that they’re going to get through? We’ve seen no indication yet that they’ll need cash, but this is a time where you’re really – it’s nice to see that you have a group of partners with very deep pockets that are very supportive of the model. And if that was needed, we’re confident that they would get the funding they need from the involved – the group involved.
Phil Mittleman: Absolutely, nothing required.
Michael Lehmann: Yes. Hey Brian, it’s Mike Lehmann. So, if you look back at first half 2020, when kind of COVID reared its head initially. Those financials are out. They reported semi-annually. You can see that they did burn cash and there was a dramatic slowdown, but there was also a very dramatic rebound, I think, 75% or so from first half 2020 to first half 2021. So, certainly the near-term outlook due to the COVID restrictions and are slowing advertising demand and just weakening business climate overall. But I think it’s transitory, right? This is a short-term action we’ve already seen some elements of loosening of some of those guidelines. So, what we’re anticipating is a like for like rebound going forward. The slope of that rebound kind of who knows, but it – but the demand and the positioning within, first the demand and second, the positioning within their 24, 25 cities that they have these plus panels in are great. And they continue to grow dramatically. Panels grew as we talked about last quarter, 22% year-over-year. Digital panels increase substantially. The likelihood of digital panels to continue moving up over the next three, six and 12 months is great. So we continue to be really excited about the overall investment. Short term, we’re going to have some blips. This is somewhat tip of the tail of the dog advertising revenues do get pulled back and get – and then get pulled back in as markets rebound. So, unsure about how deep and prolonged this trough might be, but we’re really optimistic about midterm.
Brian Morrison: Okay.
Phil Mittleman: We also have seen them in the past, take advantage of acquisitions of weakened partners or weakened competitors as well during times like this. So, there is that possible benefit as well.
Brian Morrison: Okay. Thank you for that, Phil. I guess last question is, it hasn’t been long since we last held the Q4 call. The last question is you got active with your buyback here. Curious why you put a number, the 75 million, why you put a 14 million share count there is that because that’s a percentage of your float or is that a threshold that you’re willing to pay?
Phil Mittleman: Yes, the formula for an NCIB is a function of your float. And so when you do the math, it equates to approximately 7 million shares per NCIB.
Brian Morrison: So it doesn’t indicate – all right. So it doesn’t indicate that a top threshold you’re willing to pay is $5.38.
Phil Mittleman: No, it’s a shared base number. Yes.
Brian Morrison: Okay. Thanks very much guys.
Phil Mittleman: Thank you.
Michael Lehmann: Yes, thanks, Brian.
Operator: [Operator Instructions] Mr. Tran, there are no further questions at this time. Please proceed.
Tom Tran: Thank you everyone for joining today’s call and webcast. As a reminder, our AGM begins this morning at 10 30. We look forward to speaking to you then. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.